Operator: Good morning and welcome to Tanger Factory Outlet Centers fourth quarter and year end 2007 conference call. Please note that during this conference call, some of management’s comments will be forward-looking statements regarding the company’s property, operations, leasing, tenants, sales trends, development, acquisition, expansion, and disposition activities, as well as their comments regarding the company’s funds from operations, funds available for distribution, and dividends. These forward-looking statements are subject to numerous risks and uncertainties and actual results could differ materially from those projected due to factors, including but not limited to changes in economic and real estate conditions, the availability and cost of capital, the company’s ongoing ability to lease, develop, and acquire properties, as well as potential tenant bankruptcies and competition. We direct you to the company’s filings with the Securities and Exchange Commission for a detailed discussion of the risks and uncertainties. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management’s comments include time-sensitive information that may be accurate only as of today’s date, February 13, 2008. At this time all participants are in a listen-only mode. Following management’s prepared comments, the call will be opened up for your questions. On the call today will be Stanley Tanger, the company’s Chairman and Chief Executive Officer, Stephen Tanger, President and Chief Operating Officer, and Frank Marchisello, Executive Vice President and Chief Financial Officer. I will now turn the call over to Stanley Tanger. Please go ahead, sir.
Stanley K. Tanger: Thank you and good morning, everyone. The [inaudible] industry continues to be a profitable channel and distribution for our tenants. We are excited to be a major player in the growing industry. Frank will take you through our financial results and Steve will follow with a summary of our operating performance and future developments. Frank Marchisello.
Frank C. Marchisello, Jr : Thank you and good morning, everyone. Our total funds from operations available to common shareholders for the fourth quarter increased by 12.4% to $26.3 million compared to $23.4 million last year. For the year FFO increased 12.6% to $93.7 million compared to $83.2 million last year. On a per share basis, FFO for the fourth quarter increased 11.1% to $0.70 per share as compared to $0.63 per share last year. For the year our FFO increased 10.7% to $2.48 per share as compared to $2.24 per share last year. Our year-over-year increase in FFO is the direct result of our continued ability to increase rental rates on renewals and re-leased space, a 22% increase in percentage rental income, as well as incremental FFO from our new centers located in Charleston, South Carolina an d Wisconsin Dells, Wisconsin, which opened during August of 2006. This outstanding performance reflects the quality of our portfolio and the continued strong demand for space in Tanger Center’s buyer tenants. Our FFO payout ratio for the year ended December 2007 was 57% compared to 60% last year and our FAD payout ration was 80% as compared to 81% last year. We currently believe we can maintain an FFO payout ratio in the 60% range and an FAD payout ratio in the 90% range during 2008. We will continue to invest additional dollars in capital improvements during 2008, including a $17 million reconfiguration project currently underway at our center in Myrtle Beach, South Carolina. Excluding this reconfiguration project, our FAD payout ratio for 2008 is expected to be in the mid-70% range. In addition, we will continue to invest in our ongoing efforts to increase occupancies at selected centers and attract new high-volume tenants to the outlet industry. Net income available to common shareholders for the fourth quarter of 2007 increased 23.3% to $9.1 million or $0.28 per share as compared to net income of $7.4 million or $0.23 per share for the fourth quarter of 2006. During the first quarter of 2006 we recognized a net gain on sale of real estate of $13.8 million and as a result our net income available to common shareholders for 2006 was $31.9 million or $1.03 per share compared to $23 million or $0.72 in 2007. Income from continuing operations for the year ended December 31, 2007 increased 11.8% to $28.5 million or $0.72 per share compared to $25.5 million or $0.64 per share for the year ended December 2006. Our debt to total market capitalization at the end of 2007 was approximately 32.2% and our interest coverage ratio for the year was 3.38 times. As of year end 2007, the only variable rate debt on our balance sheet was the $33.9 million outstanding on our unsecured credit lines. Last month we successfully increased our unsecured line of credit capacity by 50% from $200 million to $300 million and have obtained commitments for an additional $25 million which is expected to close before the end of February. With this in mind, we have two significant debt maturities in 2008. In two days our $100 million unsecured senior notes with a 9 1/8 % rate mature. We will be refinancing these notes with amounts available under our unsecured lines of credit which bear interest at the rate of 75 basis points over the 30 day LIBOR interest rate which is currently around 3.14%. On July 10, 2008, our only remaining mortgage loan with a balance of $172.7 million and bearing interest at a rate of 6.59% will become payable at our option. At that time we can decide to repay the loan in full or we can continue to make monthly payments on the loan at a revised interest rate of 8.59%. We are currently analyzing our various options with respect to this refinancing. I’ll now turn the call over to Steve Tanger.
Steven B. Tanger : Thanks Frank. We had an exceptional year in 2007 driven in part by healthy increases in rents, stable tenant sales, and the execution of our strategic plan by the entire Tanger team. Same center NOI grew 8.6% during the fourth quarter compared to 6.2% in the third quarter and 2.3% in the second quarter. For the year ended December 31, 2007, same center NOI growth was 5.3% compared to 3.1% in 2006 and 3.8% in 2005. I am pleased to report that the positive rent spread we achieved in the last few years continued into 2007. Through December 31, 2007, we have executed approximately 80% of the 1.5 million square feet of leases that came up for renewal throughout our wholly owned portfolio during the year. With an average increase of 13.9% on a straight line basis compared to an increase of 11.4% in 2006. Approximately 231,000 square feet of the space not renewed with the existing tenant was at our option so that we could upgrade our co-tenancy and expand existing tenants stores at a number of locations. Excluding this space, we actually renewed 94% of the space that came up for renewal during 2007. We also re-tenanted over 610,000 square feet last year at an increase in average base rent on a straight line basis of 39.7% over the rent that was being paid by the previous tenant prior to their vacating the space compared to an increase of 22.9% in 2006. We signed leases with [inaudible] new tenants last year, Esprit, Lacoste, Under Armour, [Mike LaCorge], Giorgio Armani, Tourneau, Nieman Marcus Last Call, and many others. We have already made great progress on our 2008 renewals throughout our wholly owned portfolio. As of the end of January, we have obtained executed renewals for 696,700 square feet or 52% of the space coming up for renewal during 2008 with an increase in average base rents of 17.6% compared to 613,000 square feet representing 40% of the total space up for renewal at this time last year with an increase in average base rent of 13.4%. In addition, during January 2008, we re-tenanted over 188,000 square feet with an increase in average base rents of 29.1%. The overall occupancy rate for our wholly owned stabilized properties was 97.6% at the end of the year compared to 97.5% at the end of last year. This marks the 27th consecutive year that we have achieved a year end occupancy level of at least 95%. Historically our first quarter occupancy rate tends to drop as temporary tenants and tenants that are struggling typically close after the holiday season. During the first few weeks of 2008 we have recaptured 38 stores that were occupied by tenants representing a gross leasable area of approximately 236,000 square feet or 2.8% of our wholly owned portfolio. Sales for these tenants averaged only $167.00 per square feet with an average base rent of $16 per square foot. We believe this space can be re-leased to better tenants at much higher rental rates. Approximately 11% of the space has already been released and we expect that most of the remaining space will be leased by the end of this year. We have analyzed our top 100 tenant relationships and do not feel there is much risk of bankruptcy. Most of our tenants have strong balance sheets and will continue to pay rent regardless of a decline in their comp store sales. Outlet stores remain a very profitable channel of distribution for our tenants. Outlet centers represent an attractive, defensive property type and growth opportunity during an economic slow down. While not immune from the effects of a slowing economy or possible recession, Tanger enters this environment with high occupancy, many long term leases ending with below market rents, and a very strong balance sheet. Our leasing momentum remains strong with tenants on waiting lists for several of our properties. Demand for space remains robust and should allow us to continue to raise rents over time. With respect to tenant productivity across our consolidated portfolio, reported tenant comp sales which represent approximately 82% of the occupied square footage within our wholly owned portfolio increased 1.2% for the rolling 12 months ending December 2007 to $342 per square foot. Average cost of occupancy for 2007 was 7.7% of average tenant sales compared to 7.4% in 2006 and 7.5% in 2005 which means stores in Tanger centers are still very profitable for our tenants. Turning to our development pipeline, construction in our development sites south of Pittsburgh continued during the fourth quarter of this year. Due to high tenant demand for space, we increased the size of the initial phase by 20% from 308,000 square feet to approximately 370,000 square feet. We have signed leases for approximately 63% of the first phase with an additional 20% under negotiation or out for signature. We have rejected many proposed deals for the remaining ten spaces in Pittsburgh because they did not meet our increased rental requirements. When the center celebrates its grand opening, we expect to beat least 90% occupied. We are still targeting a second quarter 2008 turnover to tenants with a grand opening planned around labor day. We continue to expect the first phase to have a total cost of approximately 85.9 million and to generate a 9.5% to 10% return on costs. Upon total buildout of the 418,000 square feet we currently expect the total project cost to be about $93.9 million and to generate a 10% to 10.5% return on costs. We are delighted to learn this past October that Bass Pro Shops closed on the acquisition of two parcels of their development site adjacent to our center and appears to be moving forward with the development of their property. As for our new development site in Deer Park which is on Long Island in New York, site work and construction continues on an initial phase that will contain approximately 682.000 square feet including a 32,000 square foot Neiman Marcus Last Call store which will be the first and only on Long Island. Other tenants include Anne Klein, Banana Republic, BCBG, Christmas Tree Shops, Disney, Eddie Bauer, Reebok, New York Sports Club, and many more. Regal Cinemas has also leased 71.000 square feet for a 16 screen Cineplex, one of the few state of the art Cineplex’s on Long Island. Currently we have signed leases for approximately 51% of the first phase with an additional 22% under negotiation or out for signature. During the past 4 months we have approved several new deals but have also withdrawn deals that were not executed and did not meet our increased rental requirements. We only have about 15 spaces and 4 restaurant spaces remaining. We are currently planning a second quarter 2008 turnover to tenants with a grand opening planned in September or October of this year. From a return on investment standpoint, we expect the total cost of the Deer Park project to be approximately $297.5 million with initial return on cost of approximately 9.5% to 10%. The return on our invested net equity of approximately $3.2 million however is expected to be approximately 25% to 30%. We have now completed the construction of 4 expansions of our existing centers totaling about 140,000 square feet. These expansions are located in Barstow, California, Branson, Missouri, Gonzales, Louisiana, and Tilton, New Hampshire and were delivered in the fourth quarter of 2007. Some stores opened in December and the remaining will open in the first quarter of this year. These expansions and the associated renovations of each of these centers have a total cost of approximately $34 million and will generate an estimated return on cost of approximately 8.5% to 9%. We have signed an option for a new development site located in Mebane, North Carolina, halfway between the research triangle area of Raleigh Durham and Chapel Hill and the triad area of Greensboro, High Point, and Winston-Salem on the highly traveled interstate 40/interstate 85 corridor. The traffic count in front of the site averages over 83,000 cars per day. The center is currently expected to be approximately 300,000 square feet and the initial reaction to the site from our [magnet] tenants has been very positive. We are also actively marketing the tenants to a site located in Port St. Lucie, Florida. This site is located at exit 118 on interstate 95 which sees approximately 64,000 cars daily. Port St. Lucie is one of Florida’s fastest growing cities and is located about 40 miles north of Palm Beach and one exit south of the PGA Village and the Mets spring training facility. This center is expected to be about 350,000 square feet and the initial reaction to the site from our [magnet] tenants has also been very positive. We are in the early due diligence study period on both of these sites. We have several target markets in our shadow pipeline and plan to announce additional new sites this year. Our goal is to deliver at least two new Tanger centers each year over the next 3 to 5 year period. Our solid balance sheet should allow us to fund our healthy development pipeline and to grow accretively. Based on our internal budgeting process our view of the current market conditions and the strength and stability of our core portfolio we believe that our estimated diluted net income per share for 2008 will be between $0.93 and $1.01 per share and our FFO for 2008 will be between $2.60 and $2.68 per share. In our earnings guidance we have assumed that the same center NOI grows by approximately 4% which will be driven by continued increases in rental and re-leasing spreads during 2008. In our guidance we also assume tenant sales remain stable in 2008 at approximately the same level as 2007. Our guidance range reflects the uncertainty that currently exists in the credit markets as well as other variables heading into 2008 such as the expected lead time necessary to re-lease the space vacated by certain tenants during January of this year. Our proposed opening dates for our two new centers as well as the overall sales productivity of our tenants. That said, the midpoint of this range represents an increase in FFO over the prior year of approximately 6.5%. We plan to continue to thoughtfully use our resources and to maintain a conservative financial position. Our solid balance sheet allows us to fund our healthy development pipeline and to grow accretively. We are very excited about the execution of our strategy to maximize revenues from our assets by our team in 2007 and look forward to a successful 2008. In 2007 we outperformed the [nary] all equity REIT index for the 6th consecutive year. In fact, over the five year period ending December 31, Tanger ranked second among the eight mall REITs and 12th out of approximately 112 equity REITs in total return to shareholders with a total return to our shareholders of 221% and a compounded annual rate of return of approximately 26% per year. We are gratified with these results but not satisfied. Every day our team focuses on adding value for our shareholders. We will not be distracted from pursuing our strategy for long term growth by the effects of the current economic news and its impact on stock prices. Before I close, I’d like to take a moment and give special thanks to our entire management team and our Board of Directors for their valuable assistance in making 2007 a record year for our company. With that, we’d be happy to answer any questions that you may have.
Operator:  (Operator Instructions) Our first question comes from [Anbika Goell] with Citi.
[Anbika Goell] - Citi : Hi guys, this is David Shamus with Anbika. First off, I just want to ask you guys, how do you see slower expected sales growth impacting the percentage rents?
Steven B. Tanger : Our forecast is [inaudible] to the extent certain tenants get base rent increases with a corresponding increase in break points. Theoretically our percentage rents could go down but we kind of believe that they’ll be flat with 2007.
[Anbika Goell] - Citi : Also, could you talk a little bit about the market for mortgages in terms of the demand for mortgages and do you think you could possibly refinance that July loan with another mortgage or just use your credit line?
Steven B. Tanger : We do not intend to refinance it with a mortgage. This is the last based on the information we have today. This is the last remaining mortgage encumbering any of our assets. It’s our plan to refinance this with corporate level debt. As you may recall, both of the agencies now rate Tanger an investment grade rated company and we were delighted that Standard and Poor’s within the last 3 or 4 months raised their outlook on Tanger from stable to positive. We’re led to believe that this is one of the few times in view of the current credit situation that Standard and Poor’s has raised their outlook on a REIT and we’re very proud of that.
[Anbika Goell] - Citi : Thanks, and just one last question, for the Pittsburgh and Deer Park developments, how comfortable do you feel with tenants opening in third quarter? I know you said that 90% target at occupancy. How does this change your lease up basically in terms of the economy?
Steven B. Tanger : I don’t think it’s changed our lease up. The economy has not affected that at all. Our tenants still find the outlet distribution channel to be extremely profitable. Pittsburgh we are targeting a Labor Day grand opening as I mentioned. Deer Park we’re targeting as September/October grand opening. We haven’t selected the date yet which is pretty consistent with what we’ve been telling the market for the last 6 months to a year.
[Anbika Goell] - Citi : And is this affecting your yield at all?
Steven B. Tanger : Is what affecting our yield?
[Anbika Goell] - Citi : The slower lease up I guess from the 61% last quarter to 64% this quarter. Is that affecting your yield going from about 9.5% to 10%?
Steven B. Tanger : No. The only affect on the yield is when we start collecting rent and the lease up... during the lease up stage obviously we don’t collect rent so it doesn’t affect our yield. When we open we expect to be about 90% occupied in Pittsburgh and that’s right on our pro forma budget.
[Anbika Goell] - Citi : Thank you.
Operator: Your next question comes from Christy McElroy with Banc of America.
Christy McElroy - Banc of America Securities : Good morning, guys. Just going back to the refinancing question. What options are you looking at for more permanent financing on both the February and July maturities and what kind of pricing indications are you getting for unsecured at this point?
Steven B. Tanger : Well fortunately we are an investment grade rated company and all the options are available to us which we’re studying. The indications we get today really are not as important as the indications we get in 3 or 4 months.
Christy McElroy - Banc of America Securities : Okay and then how long would you say you have the flexibility to keep the $100 million maturing this month, keeping that balance on your line before you need to free up capacity for development spending?
Frank C. Marchisello, Jr : I think we can make it through this year certainly and sometime into next year.
Christy McElroy - Banc of America Securities : Okay and then Steve, can you just expand on your comments earlier and talk about how your centers have performed in past recessions and do you feel that outlet centers are more defensive than other retail property types in a slower consumer environment?
Steven B. Tanger : Well the corny adage still remains true over the 27 years since Stanley Tanger started the company. “In good times, people like a bargain and in not-so-good times, they need a bargain.” The business model for the outlet industry is simple and elegant and hasn’t changed. It’s brand name manufacturers selling directly to the consumer. When the economy slows it’s our experience that people gravitate towards brand names that they trust. We are the source of brand name products direct from the manufacturer. We’ve been doing this for 27 years and we’ve never ended the year less than 95% occupied. That’s a statement I don’t believe any other company and any other property type can make and it’s also a clear statement on the strength of the outlets as a distribution channel for our tenants and how profitable it is for our tenants.
Christy McElroy - Banc of America Securities : Thank you. And then lastly, this may be something we can follow up on after the call, but with regard to your lease expirations over the next 2 to 3 years, can you walk through the percentage of those leases that have extension options?
Steven B. Tanger : We’ve been very careful. As you may recall, when we purchased the Charter Oak portfolio and closed the end of December 2005 we had a bubble coming through from that Charter Oak portfolio of lease renewals in the first year or two. We have worked hard to smooth our renewals and now we are flat for the next 5 years, both on square footage and on revenue about 17% to 18% of our portfolio is up for renewal and each of the next 5 years. There is no bubble coming through the portfolio.
Christy McElroy - Banc of America Securities : Thank you.
Operator: Your next question comes from Jeffrey Spector with UBS.
Jeffrey Spector - UBS : Good morning. I think the question on Pittsburgh is the lease up was flat basically over the prior quarter and you said you rejected some of the proposals that were received. I guess can you talk a little bit more about that and where you see the demand coming from to fill these 10 spaces to get to 90%?
Steven B. Tanger : Sure. As I’m sure you know from your experience on the developer’s side, the last 20% of the space when you’re 6 months out from grand opening becomes very valuable and our leasing group is highly focused on selecting the best tenants to round out our mix. We have raised rents for the remaining space. Obviously we want to be sure that we maximize our return for our shareholders.
Jeffrey Spector - UBS : Okay and then on the new development sites, Mebane and Port St. Lucie, you said you’re still in the early due diligence phase. I don’t know how complex the sits are. It’s February now of ’08, when do you have to make the no-go decision shoveling the ground to keep these on target for ’09 openings?
Steven B. Tanger : First and foremost, I want to reiterate our long-standing corporate policy that we don’t build anything on speculation and we will break ground and close on the property when we reach at least 50% of signed hard leases for the first phase of each of those projects. With regard to development hurdles, there are no extraordinary hurdles in either site. We are going through the process now of outside consultant reports on all the various issues and right now we don’t see anything that would from a development perspective cause a problem.
Jeffrey Spector - UBS : Okay and then on the sales increase of 1%, a moderate increase over ’06, I guess can you talk a little bit about what you’re seeing for the start of ’08?
Steven B. Tanger : We get sales on the 20th of the month following so we do not have January sales yet from our tenants, nor do we report interim sales trends.
Jeffrey Spector - UBS : Okay, thank you.
Operator: Your next question comes from Thomas Baldwin with Goldman Sachs.
Thomas Baldwin - Goldman Sachs : You mentioned that your outlook for ’08 in terms of diluted FFO per share obviously is contingent on the operating performance of the portfolio. Have you guys provided a target for same-store NOI growth for the coming year?
Steven B. Tanger : We have. It’s 4%.
Thomas Baldwin - Goldman Sachs : And then my follow up question is related to occupancy costs. You mentioned that it was 7.7% this year. Given the tougher economic environment, do you think you’ll be able to ramp that up to a higher level in ’08 or should we expect some moderation in this figure going forward?
Steven B. Tanger : I think that figure will probably remain close to the same as I mentioned in my prepared remarks. It’s been constant in the mid-7’s for the past probably 5 to 10 years.
Thomas Baldwin - Goldman Sachs : Okay, thanks a lot and just an update, you guys target about 2 centers a year over the next 3 to 5 years. Do you have any sense for what the cost on those 2 combined developments would be?
Steven B. Tanger : Are you talking about the two combined that we’ve announce din Mebane and Port St. Lucie or the speculative ones that we haven’t announced yet?
Thomas Baldwin - Goldman Sachs : Your long term target of doing 1 to 2 centers a year over the next 3 to 5 years?
Steven B. Tanger : It would be really premature for us to announce an expected cost when we haven’t announced the site yet.
Thomas Baldwin - Goldman Sachs : Perhaps a range or are you not -- We would prefer not to speculate. It’s been our history that when we announce a site and we have some identification of the issues involved and the development process that we will identify a cost and an expected return.
Thomas Baldwin - Goldman Sachs : Okay, thanks a lot for that color.
Operator: Your next question comes from Ben Yang with Greenstreet.
Ben Yang - Green Street Advisors : Hey good morning. Just going back to the 38 stores that you recaptured during the first quarter. You talked about there being a seasonal drop. It looks like sales and the rents on those stores were relatively low. Can you give a little more information on who those tenants were? It doesn’t sound like they were bankruptcies so just a little more on that?
Steven B. Tanger : They were not bankruptcy. I’m sorry, I misspoke. Bombay was a bankruptcy. The tenants are Mikasa, Little Me, a small tenant, Springmaid, Borders Books, Bombay, and West Point. Ben Yang - Green Street Advisors Was that spread throughout your portfolio or was it concentrated in any one location?
Steven B. Tanger : No, it’s spread amongst the portfolio.
Ben Yang - Green Street Advisors : Okay and then back in October you talked about your expectation that your NOI growth would be about 4% and given that your actual result for 2007 was much higher, can you talk about w here that incremental growth came from?
Frank C. Marchisello, Jr : Ben, some of that came from new tenants that we put in toward the end of ’06, first of ’07, that just blew right by the break point on percentage rents. So that piece of the pie may not double up again in ’08 so even though we came in at 5 plus in ’07, we’re targeting 4% in ’08 if that makes any sense.
Ben Yang - Green Street Advisors : Okay, so that was kind of like a one time unexpected thing that happened?
Frank C. Marchisello, Jr : That particular year, yes.
Ben Yang - Green Street Advisors : And then going back to the new development, you talked about not leasing space to tenants who didn’t meet your increased rental requirements and I understand that your last 20% of the space becomes more valuable. What kind of rental increases are you targeting for that last 20%?
Steven B. Tanger : Again for competitive reasons I hope you’ll understand that we don’t quote rents and I would prefer not to do that.
Ben Yang - Green Street Advisors : Okay. Thanks guys.
Operator: I’m showing no further questions at this time so I will turn the call back over to Stanley Tanger to conclude.
Stanley K. Tanger : Thank you, ladies and gentlemen, for participating today and for your interest in our company. We’re always available to answer any questions you may have. Thanks again and have a great day.
Operator: This concludes today’s Tanger Factory Outlet Center’s fourth quarter and year end 2007 conference call. You may now disconnect.